Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Radware Quarter Four 2020 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I'd now like to hand the conference over to your speaker today, Anat Earon-Heilborn, Vice President of Investor Relations. Thank you. Please go ahead, madam.
Anat Earon-Heilborn: Thank you, Cindy. Good morning everyone, and welcome to Radware's fourth quarter and full-year 2020 earnings conference call. Joining me today are Roy Zisapel, President and Chief Executive Officer; and Doron Abramovitch, Chief Financial Officer. A copy of today's press release and financial statements, as well as the investor kit for the fourth quarter, are available in the Investor Relations section of our Web site. During today's call, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. These forward-looking statements are subject to various risks and uncertainties, and actual results could differ materially from Radware's current forecast and estimates. Factors that could cause or contribute to such differences include, but are not limited to, impact from the COVID-19 pandemic, general business conditions, and our ability to address changes in our industry, changes in demand for products, the timing and the amount of orders, and other risks detailed from time to time in Radware's filings. We refer you to the documents the company files or furnishes from time to time with the SEC, specifically the company's last annual report on Form 20-F as filed on April 2, 2020. We undertake no commitment to revise or update any forward-looking statements in order to reflect events or circumstances after the date of such statement is made. Please note that, in March, management will participate in the virtual Berenberg Cybersecurity & DevOps Conference. I will now turn the call to Roy Zisapel.
Roy Zisapel: Thank you, Anat, and good morning, everyone. The fourth quarter was a record quarter for Radware in many areas. We enjoyed healthy business activity, including a significant number of large high quality wins with top logos across multiple verticals. This was reflected in record revenues and bookings, and in book-to-bill ratio significantly above one. The list goes on. ARR reached a recover of $174 million, up 12% from December last year. We had record bookings in our cloud and subscription business, and cloud and subscription ARR growth accelerated, from 30% in Q3 to 35% in Q4. With roughly a year into the pandemic, it is clear that COVID-19 triggered acceleration in the digital transformation of leading enterprises that are rushing to serve their customers online. Physical lockdowns forced our customers to deploy more applications in the public cloud. This combination of remote working, more critical applications online, and the hybrid cloud environment have significantly expanded the attack surface. Applications and services that were not previously exposed to external internet traffic are now at risk. The impact on cyber activity is clear, and it is significant. And we are fighting the cyber war on behalf of our customers. And let me share some data points with you. The number of DDoS attacks mitigated at our scrubbing centers in the fourth quarter was more than two-and-a-half times larger than in the first quarter, and approximately 20% higher than in the third quarter. The total number of web application attacks we blocked in the fourth quarter, almost double from the first quarter. And the number of bad bot requests we detected increased almost 30% between the third and the fourth quarters. The attack motivations vary, and include activity from foreign governments, groups seeking financial gains, and political activists. We saw continuous waves of ransomware attacks on key financial services companies, and expansion of these attack waves to manufacturing and other larger enterprises. Our broad and deep attack mitigation solutions spanning DDoS, Web Application Firewall, Bot Management, API security, and Cloud Posture Security played a major role in our success. One of our hybrid cloud DDoS customers, a leading stock exchange, experienced multiple waves of attacks followed by a ransom letter threatening to launch a much larger attack. In anticipation of these attacks, the customer diverted all of its traffic to our scrubbing centers. After a few weeks of benefiting from the advantages of an always-on hybrid cloud DDoS protection, they elected to upgrade the contract permanently. We see more and more customers in the face of this larger and more frequent attack waves upgrading their DDoS protection contracts to higher-end comprehensive DDoS plans. The increased cyber attack intensity, coupled with greater complexity brings into focus the strength and efficacy of our security algorithms, and the importance of sophisticated and automated attack detection and mitigation. For example, we signed a new logo, a leading European airline, for out bot management solution, after it was the subject of massive account takeover attacks. We on-boarded the customer to our cloud bot service and immediately started to block the account takeover attacks. These attacks constitute up to 50% of the customer Web site login attempts. We also saw a record quarter for our public cloud security product, the Cloud Native Protector. It extends our security portfolio from the datacenter application protection into public cloud workloads, and broadens the reach of our complete security portfolio. It provides multilayered protection to reduce risk by continuously verifying compliance and identifying publicly exposed assets. Cloud Native Protect significantly fortifies our customers' cloud posture by hardening the environment and by providing advanced attack detection to stop data theft attempts. Among our Q4 wins is an online video SaaS company. They added 1,200 cloud workloads to the 1,500 workloads they purchased only two months earlier. As a result of significant growth in their business, which triggered an expansion of the Amazon Web Services environment. 2020 was an excellent year for us with our OEM partners, Checkpoint, Cisco, and Nokia. And our investments really paid off. Bookings from our strategic partners combined nearly doubled from 2019 to 2020. In a year that posed many challenges to new logo acquisition, we were able to continuously win major new logos through our OEM partners. Q4 continued this strength, and we won a Fortune 100 industrial company, and a Fortune 100 aerospace company, among many others. Our strong market position is acknowledged also by industry experts. In November, Gartner published its report about critical capabilities for cloud web application and API protection. It ranked our Cloud WAF Service with the highest score in two out of four use cases, the API security use case, and the high security use case. In December, Quadrant Knowledge Solutions announced that it has named Radware as a 2020 technology leader in the bot management market. The firm praised our Bot Manager for the comprehensive protection it provides through its Intent-based Deep Behavioral Analysis, collective bot intelligence, and device fingerprinting. Finally, I would like to share with you the highlights of our plan for 2021. We are strongly focused on growth. And more specifically, we plan to center our efforts to continue to grow our ARR of cloud and subscriptions. We intend to continue to strengthen our datacenter and application security solutions for the hybrid enterprise, and benefit from our competitive advantage to grow our business. We will continue to leverage our strategic partnerships, and ensure we capture the opportunities there. Taking into account our strong solution offering, the growth markets we operate in, our strategic partnerships, and our devoted team, I am very confident in Radware's long-term growth prospects. I will now turn over the call to Doron.
Doron Abramovitch: Thank you, Roy, and thank you all for joining us for a review and analysis of our fourth quarter and full-year result. Fourth quarter revenues were a record $69 million, at the high end of our guidance and up 2% year-over-year. For the full-year, revenues of $250 million decreased 1% from 2019. From original perspective, we are very pleased with the performance in the Americas, where revenues grew 8% for the full-year, and as a result reached $114.4 million or 46% of total 2020 revenue. Revenues from EMEA increased 4% and reached $78.4 million in 2020. And revenues from Asia-Pacific were $57.3 million, down 19% compared to 2019. As Roy noted, the change in the attack surface is still in acceleration and the digital transformation of leading enterprises that drove growth in our cloud and subscription business. Our cloud and product subscription revenues together with maintenance revenue comprised our recurring revenues that represented 66% of the total in 2020 compared to 63% in 2019. ARR, which normalizes timing differences in bookings, invoicing, and revenue recognition, reached a record $174 million for the end of December, up 12% from December 2019. Within the total ARR, cloud services and products subscription ARR grew approximately 35% more than December 2019. I will now discuss expenses and profit all in non-GAAP term. The differences between the GAAP and non-GAAP results for the quarter are detailed in our press release. Gross margin for the fourth quarter was 83.1% similar to 83% in Q4 19. For the full-year, gross margin was 82.8% compared with 83.1% in 2019. Our gross margin in each period is affected by the specific product and geographic mix, by the proportion of the cloud and subscription in that period, and by the cost of the cloud operation, and the pace of opening new scrubbing centers. Overall, we have been successful in maintaining high gross margins over the past few years. And we expect to continue doing so. Operating expenses in Q4 were $48.3 million compared with $46.4 million in Q4 '19. The continued impact of higher headcount cost including commissions on strong bookings quarter was partially offset by lower travel expenses in Q4. However, the significant U.S. dollar weakening during the quarter caused a larger than expected FX impact of approximately $800,000 this quarter. We ended 2020 with 1122 employees compared with 1094 at the end of previous year. Operating expenses for the full-year were $182 million compared to $176 million in 2019. The increase was a result of higher investment in headcounts and higher commissions, partially offset by lower travel expenses. Operating profit and margin in Q4 was $9 million and $13.01, compared with $9.5 million and 14.2% respectively in Q4 2019. For the full-year, operating profit and margins were $25 million and 10% compared with $33.5 million and 13.3% in 2019. Q4 financial income of $2.2 million was lower than in the past two years due to the declining yield on marketable securities and impact we had anticipated and discussed in our previous calls. We expect financial income to moderately decline further throughout 2021. For the full-year, tax rate was 13.1%, up from 8% in 2019 due to tax benefit we had in 2019. We expect 2021 tax rate increase to 14 to 15%. Net income for Q4 was $9.8 million or $0.21 per diluted share. If it wasn't for the FX impact on operating expenses, net income would have been $11.3 million or $0.24 per diluted share. Net income for the full-year was $30.8 million or $0.64 per diluted share compared with $40.6 or $0.84 per diluted share for 2019. Turning now to the balance sheet and cash flow items, we have a very strong balance sheet. With another quarter of strong collections, it led net cash provided by operating activities to be $16.1 million for the fourth quarter; and a record of $61.8 million for the full-year, up 17% from 2019. During the quarter, we repurchased approximately 241,000 shares for a total of $5.8 million. During the full-year, we spent approximately $45.3 million on share buybacks. We ended 2020 with approximately $449 million in cash, bank deposits, and marketable securities. Let me provide you our guidance for the first quarter of 2021. We are well positioned to accelerate our growth given the healthy markets in which we operate, and are focused on cloud and subscription. We expect to continue with balanced investment in our growth initiatives, including the cloud business and our strategic partnerships. We expect Q1 revenues to be between $64 million and $65.5 million, reflecting year-over-year growth of approximately 8% at the midpoint, and the gross margin to be approximately 82.5%. We expect the strength of the Israeli shekel to cause the year-on-year increase in our dollar operating expenses throughout 2021, and the magnitude of the impact to be higher than in 2020. We expect our operating expenses to be between $47.5 million and $49 million. This OpEx level reflects a $1.3 million negative impact from FX compared to Q1 2020 rates. With that, Q1 2021 EPS is expected to be between $0.13 and $0.15. If we kept exchange rate flat at Q1 2020 level, our focus for OpEx in Q1 '21 would have been approximately $46.2 million to $47.7 million, and expected EPS would have been higher by approximately $0.03. I will now open the call for Q&A.
Operator: [Operator Instructions] Your first question comes from George Notter with Jefferies.
George Notter: Hi, guys, thanks very much. I guess wanted to start out maybe by asking about the investments you guys are making in the business. I think 2020 was a year of investing in people and selling and marketing resources, particularly in the United States region. Can you talk about your priorities as you look into 2021, and how you see investing in the business going forward?
Roy Zisapel: Okay. So we continue to ramp investments, as Doran mentioned and also I reported in my remarks. We think we are well positioned, so we will continue to hire in North America. Internationally, we will be more selective. And then we continue to put a lot of investment into our cloud platform, cloud service people, cloud delivery, and so on. So, though disappointed with the FX that played against us, that we continue to invest in the business given the opportunity we see.
George Notter: Got it, okay. And then I know it sounded like the APAC region was softer for you guys this quarter, and I think even for the year. But can you talk about how you see APAC going forward, is that an area where you can invest more aggressively and get that business growing again or is there something structural or fundamental about that market, perhaps it's COVID that had you less enthusiastic about that area of the world?
Roy Zisapel: Yes, so I think several factors played into our performance in APAC. One, we believe that that was the region that was hit hardest from the pandemic economically. Second, what you're seeing in our revenues is a bit delayed view of our bookings, especially as we move more and more into subscriptions. So, if you look on my comments from the first-half of the year I was talking about APAC weakness and so on, I think now you are seeing to the full extent in the revenue figures. However, on the good side, we've seen in H2, improved performance in APAC. I think all of -- overall our booking is solid for the second-half there. And I think you are going to see it in the coming quarters in the P&L as well. Having said that, we do see today our major opportunity in North America, and that would be our prime focus of investment, while we expect the other regions to grow even in a bit modest numbers.
George Notter: Got it, great. Okay, thank you very much.
Roy Zisapel: Thank you.
Operator: Your next question comes from Tavy Rosner with Barclays.
Peter Zdebski: Hi, this is Peter Zdebski on for Tavy. Thanks for taking the question. I wanted to ask about the strong EMEA performance. Was this a direct result of some of the order strength you mentioned last quarter just kind of flowing through the revenue or was there anything unusual or expected there?
Roy Zisapel: Now, I think also in EMEA we've seen second-half improved results. I think it starts to make its way to the P&L. And again, I think we're performing well. The wins that we have there are significant. The cloud business and the subscription business are doing well. And so, all in all, if you need me to rank our regions, North America is first, then second EMEA, and the third is APAC. So definitely we're now - we're currently satisfied with the trends we're seeing there.
Peter Zdebski: Okay, great. And then I wondered if you'd comment on how you see the gross margin trajectory in 2021, after the nice recovery we saw in Q4. Is there an opportunity to keep driving sequential growth there based on mix from the cloud and subscription growth rate?
Doron Abramovitch: Yes. So, as I mentioned, they are -- gross margin is affected by product and the geography mix in one hand, so this is something that we take into consideration, the focus on North America will probably have some impact. On the other end, with cloud and subscription it's a contradicting trend, while the non-cloud subscription on our software, and they carry very high gross margin, cloud services are accompanied with the hosting and investments, so margins over there are a bit below. So overall, taking all into consideration, and as mentioned for the first quarter, we guided something like 82.5%, which is in line with what we achieved in the last few years. So the potential is there, but right now, seeing all the trends and all the revenue mix that we focused, we believe that we are in the right there, 82%-83%.
Peter Zdebski: Thank you.
Operator: Your next question comes from Alex Henderson with Needham.
Alex Henderson: Thanks. So, good to see your numbers today. I was hoping you could talk a little bit about the split between enterprise and service provider, it's interesting to contrast that to what Cisco reported last night, where their service provider was up 5% and their enterprise was down 19%. Yet your service provider is down 9%, and enterprise up 13%. So, could you help us understand a little bit what's going on there? It doesn't look like the comp in [indiscernible] is particularly different, so [indiscernible] with the full-year of '19. So what's going on there? Is that a function of the shift to cloud being much more of an enterprise business, and you would expect service provider to gradually decline as a percentage yourselves or what?
Roy Zisapel: Yes, so I believe this is a trend we're seeing already several quarters in our numbers overall, given our focus on enterprise security and cloud security as a service, obviously that's much more of an enterprise play than a carrier play. So the more we do that the more our focus is on the broader enterprise, it can be traditional enterprise, cloud native enterprise, and so on. But that's where the growth is coming. On the carriers, I think there is overall a good market there, but currently we are way more focused on the enterprise market and so are our strategic partnerships, with the Cisco Security Group, and Checkpoint, and that's where we're seeing the growth and the big opportunity.
Alex Henderson: So we should expect gradual decline as a percentage of sales, but not necessarily a decline in the service provider business?
Roy Zisapel: Exactly.
Alex Henderson: All right. And going back to the cloud subscription, obviously a nice acceleration, and 30% in 3Q, 35% in 4Q, great numbers, can you help us out with what the scaling of this relative to the base within the overall company subscription numbers and the ARR numbers? Obviously it can't be -- if you're up 12% in total, that would suggest that the rest of the business wasn't up very much and this cloud subscription business is really the bulk of what's going on in driving overall ARR growth. Is that a fair statement, is it becoming a large enough percent, so that we could start to see an acceleration in the ARR as a result of that mix shift?
Roy Zisapel: Yes. So, it is a growing number. And if you recall in the second quarter, we had 10% total ARR growth, now we're at 12%. And that movement is driven by clouding subscription growth. So, maybe let me recap, what's our total ARR, it's comprised of the cloud subscriptions of the product subscriptions, and together we call those cloud and products subscription. And that's where the growth of 30%, 35% come from. Hence the other large component is our service contracts, maintenance contracts on appliances, software, or hardware, which is the more traditional business we had. The total was 174, if you look on cloud and product subscriptions, it range $75 million to $80 million. So it's becoming a very significant portion of the overall cost 50% already and we believe as we continue to grow that, the rate that you've mentioned, we hopefully will see acceleration in the total ARR.
Alex Henderson: That makes sense. So I mean, inherently, a product subscription contract will encompass the service contract that you historically have gotten on perpetual products. So I mean, that's a natural cannibalization, does the declining opportunity to cannibalize existing business results in some deceleration as that becomes a less and less factor?
Roy Zisapel: I think a lot of the products we sell in subscription are not cannibalizing existing products. So for example, all our management and analytic software, all our automation, software, all of that is sold only in subscription. So there was no perpetual equivalent to cannibalize. There are some other capabilities is a product add-ons that we sell, also subscription, but again, they're not cannibalizing any product perpetual. And the reason extend that you're right in those cannibalization. So overall, we would love the service contracts. And so to keep steady while we aggressively grow the product subscriptions and the cloud subscription.
Alex Henderson: That's very helpful. Thank you very much. Just one more question, if I could. As we look at the rapid shift to cloud, to digital transformations, to Kubernetes adoption, obviously, that's putting significant pressure on how do I secure workloads in the cloud, you've seen a lot of announcements from companies ranging from CloudFlare to Zscalar targeting that number of acquisitions, whether it's VMware or whether it's Stack at IBM, DivvyCloud over Rapid7, how do you see the security in the cloud for Kubernetes workloads relative to where you're positioned, either across the pre-deploy the runtime, inside the container or data in flight domain to the main portion of the market? What portion of that are you going after and what portions are you not going after?
Roy Zisapel: Okay. So I think the three areas that we focus on, specifically, for Kubernetes Workload, we're going after the web application firewall, for the workload running in that Kubernetes framework, and that's inside the customer VPC. So that's the first, the second, like for any other application, Kubernetes apps not excluded. We provide cloud security as a service. It can be API securities, it can be both, it can be there and so on. And third, as they run on the public cloud, we protect the posture of the VPC of the customer, I mentioned that we had the record quarter there as well. And that, whether it's Kubernetes or not leaving all the API's of the cloud platform, AWS, Azure, and so on. And with that, providing better compliance, better how they need recommendations and detecting attacks as they go, on the other end, what we're not going after is we're not putting agents on these servers. So for example, what's called Cloud workload protection, it's not web, it's not a market, we're going after, we're agentless. We're not going after at this point, the Kubernetes security itself of the infrastructure; we're really keeping ourselves at the application and in the cloud workload level. And I think we're doing very well and we're seeing very strong demand from our customers.
Alex Henderson: Great, great job, I appreciate the answers. You're making great progress. Thanks, Roy.
Roy Zisapel: Thank you.
Operator: Your next question comes from Andrew King with Colliers Securities.
Andrew King: Hey guys, thanks for taking my question. So obviously, over the last year, we've really seen Cisco partnership really ramped well, but could you just give us a little bit more of a color into how the Checkpoint and Nokia OEM partnership are ramping and going to be focusing your 2021 investments for those to ramp them?
Roy Zisapel: So actually, all of them did very well this year and also this quarter. So, Checkpoint is also grew, we over doubled the business with Checkpoint in 2020. Again, major wins in leading Global 1000, Fortune 500 customers, very, very strong new logos to other as well as expansions in banking, in manufacturing, in carriers, and so on. So, there's definitely good momentum there. And we actually, as part of our investments for 2021, we're ramping investments also on the Checkpoint side. And last but not least, Nokia, it's obviously focused on the carrier market, but also there, we had a very nice wins in major telecom groups. They're helping us actually replace incumbents from competition, given their complete architecture and complete solution. And also, in Nokia, we're adding more capabilities, more resources to the partnership. So all in all, I think the three OEMs at this point are executing well, I think the potential is still much bigger than where we're, and we need to execute together with them to leverage that, but if you think about it with Checkpoint and Cisco on the enterprise side, and Cisco and Nokia on the carrier side, we should have very good access to all the leading carriers and the Fortune 1000, Global 2000 companies around the world. And we're working very hard to leverage that access.
Andrew King: Great, thank you.
Operator: Your next question comes from Joshua Tilton with Berenberg Capital Markets.
Joshua Tilton: Hi, guys, thanks for taking my question. I just wanted to touch on the growth for the full-year. Do you kind of expect it to remain at the level that you've guided to for Q1? Or is this going to maybe somehow accelerate through the remainder of the year? And then also, if you could just kind of give us how we should think about the mix of recurring versus non-recurring revenue in 2021 versus 2020? That would be great.
Roy Zisapel: So we didn't guide 2021, it's too early for all of you, although, we mentioned a lot of record and a lot of great start and we're very optimistic. But the Q1 with the midpoint of 8% right now, this is what we have and I assume that next quarter we'll have more visibility to talk about the following quarters, for the recurring revenues, yes this year we achieved the 66% which was a bit higher than what we expected. And what we mentioned at the beginning of the year was the 65%. So we assume that next year, we'll continue with our cloud and subscription, so the portion should grow, sentiment we will continue I hope to grow a bit on this one. This is already very high level and the target is to continue to do it.
Joshua Tilton: And then just one more follow-up for me, is there any chance you can kind of give us a sense of where the gross margin is on the cloud subscription business versus the upfront software business?
Doron Abramovitch: No, unfortunately, no, too many assumptions that we need to do in order for to convince you to talk about this.
Roy Zisapel: And also, I want to explain, each of the cloud services is different gross margins and in different stages of scaling in the cloud business, when we're opening new nodes, there can be big fluctuations in gross margin from one quarter to the other. And it's until we fully populate those nodes, that it goes back to those levels. So, it fluctuates a lot between services between periods. And at this point, I think what Doron mentioned the 82.5% guide for the full-year is what we would like to stand by.
Joshua Tilton: All right, thanks guys. Congrats on the quarter.
Operator: Your next question comes from Yi Fu Lee with Oppenheimer.
Yi Fu Lee: Thank you for taking my question. And congrats on a strong set of results. Maybe first question for Roy, just want to comment, just want to get your comments on the elevated threat, cyber environment. You had mentioned earlier that DDoS at its peak, bot attack was at its peak as well, and it cooperates with our external research that your organic growth is over 100%. And then in December, you've seen a slew of breaches, starting with some of the cybersecurity firm as well, some sunburst breach, I was wondering, has this helped you in your pipeline, whether in the first-half of 2021, maybe some commentaries on that guys?
Roy Zisapel: Obviously, the increased cyber activity is driving more and more business. I think it's becoming clearer and clearer to each and every enterprise around the world, that they must increase their defenses, that the threat is real, that is critical to their business. And that you need to really aim for a very, very secure, high-end solution. And I think, given our focus on really the high-end security to provide the best security in the world to applications and data centers, we're enjoying that trend. We saw, as we've mentioned throughout the year, and continuously into 2021, already, we know we're seeing very large enterprises that are taking us because of the strength in security because of our ability to block attacks that others are more challenged with. So definitely, we're seeing the impact of the pipeline and on booking already.
Yi Fu Lee: That's right. And then just a quick follow-up with that, can you -- I know, Roy mentioned earlier that Checkpoint relationship is going well. Just want to get your comments on the other two like I know Nokia's newer, how about Cisco last year, I think the guidance was 10s of millions of dollars, do you anticipate want to get your colors on, what's your expectation for 2021 for those three vendors, Cisco, Checkpoint as of yet, and that's it for me guys.
Doron Abramovitch: So I'll let Roy take the strategic one. But we mentioned a few years ago that we expect it to be tens of million dollars. And really we don't disclose the number. But you can imagine if we are about to be 2x versus last year, that was 2x versus the previous year, we're in a very good situation. We're very comfortable with this one. But again, we don't disclose, we don't break these revenues.
Roy Zisapel: And as I mentioned, Checkpoint also did a very good deal. And so is Nokia, so at this point, all of them are growing rapidly with us. I've mentioned that as a group, they practically doubled. And we believe the potential is still there for more, definitely and as I mentioned our focus on the larger enterprises with them and with Nokia and Cisco and large carriers should deliver better and better results.
Yi Fu Lee: Thank you very much again Roy, have a good day.
Roy Zisapel: Thank you.
Operator: Your next question comes from Alex Henderson with Needham.
Alex Henderson: Yes, just a couple of housekeeping questions, if I could.  The $800,000 FX hit is that all in the interest income expense line?
Doron Abramovitch: No, the $800,000 that I mentioned is part of -- when we guided last quarter $46 to $47, so one good thing is that we added some expenses on commission, a very good quarter in terms of booking and that 100 is the FX that impacted the OpEx due to the strong Israeli Shekel. So, it's not -- [multiple speakers]…
Alex Henderson: So, is there translation in the interest income expense line at all then?
Doron Abramovitch: No, it's not the interest. It's only the OpEx that the translation of Israeli Shekel to U.S. dollar.
Alex Henderson: Perfect. And could you get me the headcount number? I don't think I caught it?
Doron Abramovitch: 1,122.
Alex Henderson: Okay, thanks. And just -- I know you don't want to forecast anything beyond the first quarter. But, can you talk a little bit about the magnitude of the impact you think in retrospect that the COVID event had in the first quarter versus the second quarter? And how that trajected over the course of the year based on your best forensic analysis after the fact? Obviously, the second quarter should have much higher growth rate than any other quarter given that was the quarter that had the biggest impact. But, I think you also had some impact in 1Q. So, can you talk a little bit about what we should be thinking about in terms of the magnitude of that impact over the course of the year?
Doron Abramovitch: It's very hard to tell. Initially in the year, there were project delays. And there were obviously several segments that were practically shutdown in the world almost to to-date like travel and hospitality and so on although our exposure there is limited. On the other hand, initially as enterprises shifted to work from home, we've seen capacity increases. But, I think as the year progressed the main impact that we saw is not from COVID or maybe we got used it, it's more from the heightened security activity and hacking activity around the world. And to the extent, it is directly related to COVID or not, I don't have a view on that. But that I think was driving the main pipeline activity, the main business growth and so on. So, we are way more linked to that I think today than to the current impact on COVID. And it's by the way one of the reasons when we look into next year, it's bit hard to tell is the fact that countries are entering and exiting lockdowns and that we are seeing continuous delays on budgets and so on. Where we are not seeing delays and we're actually seeing increased investments is in cybersecurity. And hence, we are even more focused on that on the enterprise and more focused on cloud as a delivery option because that does not require any physical access to location or to an application. So all in all, I think we are well positioned. We have growing cloud service business, high security capabilities that really fit extremely well with the heightened attack activity and the fact people need cloud services in this environment.
Alex Henderson: Roy, I understand the point, but [I decided to coin], [Ph] we were down 2.3% in the first quarter and 3.3% revenues in the second quarter last year. Obviously, it's improved substantially as security became a much bigger focus in the back half of the year. And I am sure that's why your business is accelerating. I am just trying to understand the mechanics around the 2Q, compare a little bit so that we can have a better sense of whether that should be the highest growth quarter or whether you expect just the momentum of your business ends up being more important. And therefore, we should look at those comps as relevant?
Roy Zisapel: Yes. We don't have guidance for the second quarter at this point. Generally if you look on the last several years -- I think the last couple of years also before COVID, actually Q2 was lower than Q1 in revenue for us. It's not to say that's what we are going to have now. We really don't have any thoughts on Q2 at this point beyond our growing ARR, growing visibility et cetera. You already see that in Q1 we are growing, of course, 8%-9%. At the midpoint, we're expecting good deal in front of us, but I cannot quantify for you the exact COVID impact, it's very hard.
Alex Henderson: All right, thanks, I appreciate the response.
Operator: I'm showing no further questions at this time. I would like to turn the conference back to Roy Zisapel.
Roy Zisapel: Okay, thank you everyone, and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.